Executives: Javier Marín Romano - Chief Executive Officer, Executive Director, Chairman of Public Policy Committee, Member of Executive Committee and Member of International Committee José Antonio Alvarez Alvarez - Executive Vice President of Financial Management & Investor Relations Division José Manuel Campa - Head of Investor Relations
Javier Marín Romano: Good morning. Welcome to the Second Quarter Results Presentation of Banco Santander. José Manuel Campa, responsible for Investor Relations; and José Antonio Alvarez, the CFO of the bank, will join me for this presentation. The group has conducted its business in the second quarter in a global economic environment in which developed economies have strengthened and emerging ones were still below their potential. Interest rates remain at historic lows in most countries. In this environment, and as I said at the last presentation, the group's management is focused on 2 main priorities. On the one hand, exploiting this new cycle of higher profits and profitability, implementing measures that will enable us to gain market shares in key segments in all entries. On the other, maintain a solid, liquid and low-risk balance sheet. The main aspects in the third quarter -- in the second quarter are: attributable profit rose at double-digit rates, both quarter-on-quarter and year-on-year. All P&L lines, gross income, costs consolidated the good trends of the last few quarters. Business volumes reflect the different macroeconomic momentum of each country and the group's particular strategy in each one. But in generally -- in general, they show rise in lending in 9 out of our 10 core countries in the second quarter, which is beginning to reflect the focus and the strategies we are developing. In France, we continue to focus on reducing the costs while customers find more profitable products better suited to their needs by actively managing deposits and selling mutual funds. At the same time, we see very good growth in current accounts. In risks, the nonperforming loan ratio dropped again for the second consecutive quarter, and the cost of credit continued to normalize. Our liquidity position remain comfortable. Net loan-to-deposit ratio stood at 114% in an ongoing improvement. Moreover, our liquidity coverage ratio is above 100% in all geographies. And we also feel very comfortable with our capital. Core equity Tier 1 capital stood at 10.9% and a total capital ratio above 12%. In short, we are on the path for sustained growth, in recovering profits and higher profitability. If we take a look to the income statement, the second quarter attributable profit was EUR 1,453 million. It's 12% higher than the first quarter of 2014 and 38% more than the second quarter of 2013, accelerating over the first quarter. The first half profit was EUR 2,756 million, 22% higher year-on-year. Excluding the exchange rate impact, it would have increased 40%. Some qualitative comments on profit. It is a profit of great quality, fueled by net interest income and fee income that represented 93% of total gross income and improved over the last quarter. All of the increase was recurring, as it did not incorporate the capital gains from corporate operations during the first half. As I will later mention, these gains were basically to restructuring costs and one-off provisions to bolster the balance sheet. In short, and I insist on this, we took another step towards profit normalization and enhancing the group's profitability. With respect to the gross income, 2 comments. First, the change of trend that continues to strengthen, particularly net interest income that increased for the second straight quarter by EUR 378 million, excluding the exchange rate impact, 3%. That is an annualized rate of 12%. The fee income grew for the third quarter running due to greater customer transactions, growth in mutual funds and higher income from fees related to global banking and markets. That more than offset the collateral impacts from basically interchange rates from credit cards in Europe and maximum fee rates in Chile. In both cases, the annualized growth rates of the quarter are higher than the ones of the first quarter. Second, most units registered growth in net interest income plus fee income, as José Antonio Alvarez, will later explain. With respect to costs, this continued the trend of the first quarter with a differentiated evolution by unit. We can distinguish 3 main blocks. First one with those units undergoing integration like Spain and Poland, or structural adjustments like Portugal, with costs declining in nominal and real terms. Brazil's growth in costs was well below the country's inflation rate, 5% fall in real terms, underscoring the work done to improve efficiency and service quality. At the same time, the growth in costs in Brazil decelerates with respect to the first quarter. A second block with the U.K., which is combining investments in its business transformation plan with efficiency plan to achieve a rise in cost that is basically in line with inflation. Also, Santander Consumer Finance in Chile increased their costs, basically in line with inflation. Our third block with Mexico and Argentina, whose costs are rising because of the opening of branches and commercial capacity improvements. In the U.S., costs also rose significantly at Santander Bank, which is improving its franchise at the same time that the investment on the new regulatory environment, and Santander Consumer U.S.A., that is growing strongly in the country. In short, a very good performance at group level and one that enabled us to reaffirm our objective of cost saving this year, which we definitely expect to improve. We will come back in October with more detail on this. All of these should increase the advantage we already have with the sector in terms of efficiency. With respect to the cost of credit, provisions continued to decline. We see a further fall in the second quarter, notably in Spain, Brazil, the U.S. and the U.K. And overall, provisions were 4% lower than in the first quarter and down 11% in the first half of the year. The cost of credit also continued to normalize and was 1.56% in June compared to 2.14% a year earlier. Again, if we take a look into the income statement, it performed well in all lines, both quarter-on-quarter and year-on-year. In the quarter, we see good evolution of the main P&L lines. Profits rose more than 10% quarter-on-quarter. On year-on-year terms -- on year-on-year terms, and eliminating the exchange rate impact, the P&L performance was one by the book. Commercial revenues increased at double the costs, provisions on a downward trend, and profit growing at high double-digit rates. As I said before, the first half profits does not incorporate any of the capital gains. That amounted to EUR 1,335 million net, coming basically from Altamira -- from the sale of our -- Altamira in the first half, from the listing of Santander Consumer in the U.S. and from the changes of benefits in the pension entitlement in the U.K. Otherwise, a one-off fund was established for basically restructuring costs for an amount of EUR 740 million, the impairment of certain intangible assets, basically IT for EUR 512 million and other allowances for EUR 79 million, or basically, we see the bulk of it is EUR 65 million in order to complete the provisions for PPI in the U.K. Of course, the first half doesn't include the capital gains which will be generated in the strategic alliance in Custody and Insurance of the Consumer business in Europe, which will materialize during the second half of this year. Moving on to the balance sheet. The volumes basically reflect the strategy we followed in recent quarters and the environment in which the group operates. In lending, the second quarter underscored the change of trend shown since the start of the year in mature markets. By unit, we see Spain rising again in the second quarter, spurred by greater companies. The U.K. will create growth, not only in companies, but also in mortgages, reversing the -- in this case, in mortgages, the declining trend that we had seen in the previous quarters. In the U.S., both Santander Consumer and Santander Bank are growing well. Santander Consumer Finance, that continues to improve. Lending in Portugal kept a deleveraging environment that is enabling us to gain market share in recent quarters. As you see, compared to the previous quarters, all our countries grow except Portugal. So 9 out of 10 are already growing. In emerging markets, lending grew in all countries. Of note was the strong growth in Mexico, both in the segments of Large Companies, SMEs, government and mortgages. And less so in Brazil. Because of its economy, that is growing below expectations, although it's improving over the first quarter when it registered a slight decline. With respect to deposits and mutual funds, they grew on the second quarter and over December 2013. The strategy being followed in general terms is increase in demand deposits, that increased 3% in the quarter, and 6% with respect to December 2013, reducing the expensive term deposits and a very nice increase in mutual funds, 7% in the first half. As a result, as I was mentioning, demand deposits rose 3% in the second quarter, time deposits declined 4%, and mutual funds that increased the number -- the figure all by itself. With respect to credit quality, the total nonperforming loan ratio was 5.45% after declining for the second consecutive quarter, which means 7 basis points below the previous quarter and 16 basis points with respect to December 2013. We see a sharp fall in new entries, which were 52% below those in the first half of 2013. The coverage ratio also improved to 67%, a high level for the mix of our credit portfolio, where around half of the loans have a real warranty, which required lower coverage, and then the units with a lower weight of real warranties, such as Santander Consumer Finance, Brazil or Mexico, halfway covers levels close or above 100%. Of particular note is Santander Consumer U.S.A., whose coverage reached 282%. If we take a look to nonperforming loans by unit, and especially in our 4 biggest countries by loans, we see stability in the 4 largest units, which represents 75% of our lending portfolio in the second quarter. The U.K., the U.S. and Brazil in particular, all have lower nonperforming loan ratios than a year ago. Expense ratio continued to stabilize, and for the first time in many quarters, it inched down 2 basis points. Mexico, Chile, Santander Consumer Finance in Portugal, all of them have lower nonperforming loan ratios. In short, this is proving to be a good year in terms of evolution of the credit quality. Taking a look to the solvency and liquidity ratios, the core equity Tier 1 is 10.92%, the same as the Tier 1 capital ratio, while total capital ratio is 12.1%. This ratio is what we consider in Spanish regulation homogenous with European one regarding intangible assets. On a like-for-like basis, the core equity Tier 1 rose 15 basis points in the second quarter. The increase is basically due to organic capital generation. In addition, there was an issuance of additional Tier 1 and hybrid debt for a similar amount that was amortized. The leverage ratio stood at 4.5%, stable in the quarter. And with respect to the liquidity ratios, net loan-to-deposit ratio stood at 114% on a very comfortable level. In Spain, it stood at 87%. And the liquidity coverage ratio is both 100% in the group and also at the main units, which is well above the 16% -- the 60% that will be required for 2015. In short, we are very comfortable with our capital, liquidity levels and our capacity to improve them organically. Just a small comment I make you on the stress tests. As you all know, we are under a confidentiality agreement with the European banking -- central bank, however, we don't change our outlook with respect to previous quarter, and we expect to go through this process without any impact at the group level. I will pass over the micro to José Antonio Alvarez, who will comment on more detail on each of the group unit.
José Antonio Alvarez Alvarez: Morning. Let me to go into more detail into the group business, I guess. We start with the chart that represents the distribution of the profits per geographies. Small changes, given to the recovery in U.K. and in Spain. So U.K. represents now 20% of the profits; Spain, 13%; Brazil, 19%. Then U.S. is 9% of the group profits. There are 4 countries that represent between 5% and 8%, that are Mexico, Chile, Poland and Germany. Starting with Spain. As Javier has pointed out, the main change from the previous quarters has been the change in the trend of the lending. The lending rose 2% quarter-on-quarter, excluding repos, as we will see in the next slide. The other factor in the quarter, that was already in the previous quarter, was the continued reduction of the funding cost. You have in the slide the cost of the new time deposits that is running at 0.75% compared with 1 year ago when we were running at 1.54%, double than is currently now. So those are the main remarks on activity. On results, well, I will say the most recurrent commercial revenues are growing. Net interest income plus fee income is improving by third quarter, based on lower deposit costs, the beginning of the recovery in lending and higher fee from home sale activity and mutual funds. Operating costs reflect a downward trend due to the integration that we announced. And loan loss provisions continue to normalize, still above the average across the cycle, but is trending in the direction we told you in previous quarters. For the coming quarters, we see similar trends consolidating a greater contribution of this area to the group profits. If we go a little bit deeper into the balance sheet, the loan book, commercial loans grew EUR 3 billion so over the previous quarter. They grew basically in the corporate and institutions, mainly in corporates. This is the Santander Advance initiative that we launched a few months ago is having very good results. We are capturing new customers, new SME customers, and our lending is growing in this area. As to that lending, this also grow to individuals. So in fact, the mortgages grew 62% in new production and the consumer credit 40%. But this is not reflected in the stock because of the high volume of amortizations. But the lending is improving, is growing well, and we are relatively optimistic about -- to keep going in this direction. In deposits, the main 2 trends here: the downward trend in costs, and we are [indiscernible] between time deposits that are falling that are going into mutual funds. In fact, we are growing mutual funds 37% with significant market share gains that is a shifting from time deposits into our balance sheet prods. If you look at the credit quality, that has been one of the main issue in Spain in the past quarters, we are seeing a clear stabilization. Before the -- it start to trending down in a significant way. What we are seeing in the flows, NPL entries are falling, net of recoveries, are falling 90%. This is due to a big fall in gross entries by date in companies, mortgages and individuals, as you can see in the right side of the slide. So we expect this to continue to go in this direction and probably to accelerate in coming quarters. Going to Portugal. Let's say better macro environment. The GDP grow and employment outlook is much better than it was in the past year. While in relation with our franchise, it's the best bank in the country by any measure, by solvency, by credit quality, by the capacity to renew profits through the crisis. And even with this deleveraging environment, we are gaining market share, even though our loan book and deposit book are still shrinking, but we are gaining market share in a market that still is in that deleverage mood. In results, we continue to normalize the profit. Net interest income went up due to lower funding costs. The cost continue a downward trend and the credit quality has improved or has stabilized, and we see improving going forward. We see these trends basically to continue in the coming quarters in an environment that is clearly improving. In Poland, a different macro environment here. The country due to grow more in the region of 3%, low inflation, below interest rates for the standards of the country, 2.5%. In this environment, the unit continues to perform very well. There's significant growth in lending in the quarter, 5% year-to-date, and 3% quarter-on-quarter. In deposits, we -- the reduction on the cost of the deposits coming from the former KB came to an end in the quarter. On the other hand, demand deposits and mutual funds are growing nicely. The results. We have a good trends in net interest income. Fee income is doing well, trading gains went down. Last year, we saw some outgo positions, and this year the capital gains lowered. And generally speaking, the unit is generating recurring profits in the region of 20%, excluding the capital gains that I mentioned before. So good news overall, and we expect this trend to continue as the economies -- the GDP growth accelerates in the country. In Consumer Finance business, the environment is much better. Car sales in Europe finally went up. So car sales increased 5% in our footprint. So it has been the first time in years. And this is an area Consumer -- the Consumer business continued to deliver very good results. The new production in car finance rose 10%, double than the sector growth; and direct credits on cars, almost 30%. The results profit on quarter-then-quarter went up 9%, and 21% compared with the previous year. Our units did very well. Pretax profit increased in all the large countries. The growth was especially strong in other countries, Poland, Spain, and Portugal. We have 2 operations underway that improve our diversification and our presence. The acquisition of the Consumer Finance business in Sweden, Denmark and Norway. We bolstered our leadership position. We are already, in those countries, leader in market -- leader in auto finance and we will be the market leader, also, in direct credit on cars. The other agreement here has been with PSA, the group PSA Finance, to create a joint venture in 2015. This will last to improve and to reinforce our positions in countries we already operate and enter in core very attractive market, such as France. In short, the area is producing very good results and we keep a significant gap in profitability vis-à-vis our main competitors in this field. The Spain run-off real estate. The exposure continued to fall. The reduction is back end here in the quarter. So basically, the reduction comes from the loan book. It's 25% year-on-year, while foreclosures remain basically stable. The coverage ratio stays above 50%. The losses in the first half were EUR 307 million, lower than the EUR 337 million in the same period in the -- in 2013. We sold 6,000 units in the first half. We continue to see fall in creating run-off in the coming quarters at the same pace as currently, and I -- sales policy less aggressive in prices, with foreclosures falling at a slower pace. In U.K., while -- it's very vulnerable, the economy -- the space is improving. We are in the middle of a transformation of the franchise that continued to deliver excellent results, where we see the lending and deposits rose in the last 2 quarters. This is a remarkable change vis-à-vis with the previous year where we were reducing the mortgage book, because we changed our underwriting standards for interest-only mortgages, and this produced a reduction in the overall mortgage book. And deposits grow reflected the rise in demand deposits and the drop in the quarterly ones [ph]. This modest increase do not reflect the underlying secondary -- the strong underlying transformation that is happening in the U.K. in terms of products and revenue diversification. Results. Profit was up 5%, in the quarter, and 54% compared with the previous year. The main driver has been the funding costs. The funding costs were falling, while deposits was also refunding cost. There is good cost control, and the provisions, given the very good credit quality, keep falling. If we focus a little bit what is going on in the transformation process, in the franchise what we see is, well, very successful trends here. So we are boosting retail customers. So the number of customers in 1, 2, 3 keeps growing, the balances in currents accounts are trebling in the last 2 years, so it's a remarkable success. We are seeing -- we are capturing the highest number of switches in the U.K. That probably reflects the strength of our retail franchise in the market, and we continue to grow in the corporate world. As you know, this is one of our targets, to improve our position in this segment. And we are growing at 10%, and the corporate loans represents already 12% in -- of the total loans in the book. This also is not in the initial numbers but the results show a significant improvement in customer service quality that probably explains our success in attracting new customers through our propositions to the retail customers. In the U.S., while higher -- well, the environment is not particularly good, given the low level of interest rates, as you know, the jurisdictions. The group strategy is focusing growing in specific segments, commercial and industrial in the bank and consumer's business through SCUSA, and improving the mix of funds. As a result, Santander Bank continued to increase lending to companies and auto finance. Demand deposits grew. SCUSA new lending rose, not as much as in the previous quarter. The stock upgrade year-on-year has grown to 21%. The new production in quarter-on-quarter fell 12% because, well, we applied tighter underwriting standards, given the trends we were seeing in some previous [indiscernible] coming from 2013. Business volumes in Puerto Rico, the other unit included here, are falling due to the situation -- the economic situation in the island, and we are refocusing [ph] our portfolios from -- to lower standards. The results. Solid results in the quarter, EUR 270 million plus 25% quarter-on-quarter attributable profit growth in the 3 units, Santander Bank, Puerto Rico, and SCUSA. In year-on-year terms, profit was 22% lower in the first half, largely due to no provision at SCUSA, because it's strong growth in lending with help from provisions make -- explain this change. Let me talk to remind you where we are in the CCAR. As you know, Santander Bank comfortably met the quantitative Santander Holding U.S -- comfortably met the quantitative capital requirements of the stress test, and we are top 3 among the U.S. banks that went into the CCAR process. But we are working to strength the qualitative issues that were raised by the feds. In coming quarters in the business, we see growth in business in revenues, more stable costs and provisions, which we already feed through profits. Brazil, the macro environment is -- the drought is relatively subdued, only 1%. Inflation is running 6%; and interest rates, 11%. So the business -- the lending was basically flat in the quarter, plus 4% year-on-year, but flat in the quarter. Double-digit growth in funds, plus 25% in mutual funds, plus 5% in deposits. A greater emphasis in deposits and linkage of the customers. In results. The profit was 2.6% higher than in the first quarter due to evolution of costs and provisions with -- we told you last time that we were focusing the division provisions and costs. Costs continue to decline in real terms, minus 5% year-on-year, while the provisions continue to fall. The first half profit was 3% lower year-on-year because of higher taxes, as pretax profits increased 3%. The growth compares relatively well with previous quarters. I will now comment in net interest income and provisions in Brazil. Fairly stable net interest income in the past quarter, reflecting lower growth in lending and gross spreads that continue to be somewhat pressured by the changing needs. We are growing more in mortgages in large companies. And we are growing less in consumer-related lending. That explain why the net interest income behavior. In credit quality, the NPL ratio was 1 percentage point lower than at beginning of the 2013, and was more stable in the last few quarters. Coverage increased by 5 points in the period. In Brazil, we see a country with underlying strength intact which is going through a cyclical phase of lower growth. Some pressure on revenues from volumes and gross spread with a better evolution of net spread after provisions. We are making efforts to improve efficiency and productivity, combined with specific plans to increase linking some business in the [indiscernible]. Mexico, more or less like Brazil, is growing less than the potential growth. It's growing around 2%, the country. Mexico has expanding activities. We are opening branches. We open more than 100 branches in the last 18 month, and this is reflected in our market shares that are growing in lending 110 basis points, and in demand deposits 100 basis points. Lending would be -- we're having stronger growth in Large Companies, SMEs, and mortgages and less in cars and consumer credit. This explains why the net interest income is reflecting this different mix. Results. In the main developments are good quarter in gross income due to recovery in net interest income due to higher volumes and with lower spreads. Positive results in trading gains from lower interest rates, stable costs in the last few quarters. I already said that we are opening branches, so the costs are growing still a significant rate compared to the previous year. Quarter-on-quarter, they were flat. Provision increased mainly as a result of the growth in lending. This is in line the cost of credit, which remained stable. In short, a good quarter in results. It's not still reflected in year-on-year because the higher cost of the expansion plan. We see growth higher in new market in target segments. Going forward, we expect to get lending market share in the country. Chile, the country is growing 3%. The inflation became higher than this -- has helped the results in the last 2 quarters. And officially, the rates are 75%. In this environment, the bank performed well in volumes and results. We're gaining market share in lending. We are growing 7% in SMEs, 10% in high income -- 16% in high-income individuals and 10% in companies. In funds, we're improving the cost through growth in demand deposits and reduced in time deposits. In results, the high growth in net interest income, 27% year-on-year due to a growth in lending, better mix of funds and the higher impact -- the higher inflation on the UF [ph] portfolio. In the last few quarters, the country has had stronger regulatory pressure, has been affecting net interest income and fee income mainly. Of note, it was the regulation of the maximum rate which limited the spread from consumer credit and car and the charge of fees and commissions. Costs in line with inflation. Lower provisions than in 2013. Chile results, as I said, were probably benefiting from the positive impact of inflation on revenues. In any case, including this impact, profits for the first half would have grown double-digit rates year-on-year, driven by good business dynamics. In other Latin American countries we are seeing good trends. In Argentina, the first half profit, EUR 135 million, 30% higher year-on-year. Uruguay, profit increased 9%; and in Peru, 27% higher. Lastly, we opened a new subsidiary in Colombia, Banco Santander de Negocios Colombia, that is starting operations in the country. Finally, the corporate activities. The [indiscernible] loss was EUR 849 million, lower than the same period in 2013. The difference came basically, there is 2 -- several difference with the previous year. The most important one is the provisions. Last year, we -- when we integrate Banesto, we standardized the portfolios to the most conservative criteria. And at that time, we made that charge of EUR 200 million. This is a difference in provision. EUR 200 million charge with last year. And in the income, there is an improvement in net interest income. The lower cost of the issues was offset by lower trading gains. The CEO now will make the conclusions of this presentation.
Javier Marín Romano: Let me just sum up the quarter. As I stated in previous quarterly presentations, Santander continues to improve the basic trends of its results at group level, as well as at individual units. This presentation has shown an improvement in the dynamics of commercial revenues in almost all units. Nine units grew in the quarter. Good management of costs and structures, which is enabling 7 out of our 10 core units to record a stable costs or declining in real terms. And all this before extracting the full value and the full potential of savings of the efficiency plans that are underway. Lastly, the lower provision needs of the group. Nine out of our 10 core markets show stable provisions or declines in the last few quarters, compared to just 6 markets -- or 6 units in the first quarter. The combination of these trends has produced a radical change in the group's underlying profit, as can be seen in the chart of the slide. While there were sharp falls in net operating income after provisions in the 2 previous years, in the first half of 2014, year-on-year growth was already more than 25%. And this is 10 percentage points above the trend that we saw in the first quarter of this year. This trend will continue, and we'll benefit from 2 types of actions. On the one hand, from the gradual implementation in all the group units of special plans to boost productivity, efficiency, and linkage of our clients. On the second hand, we will extend the cost plan to units that do not have it yet, while seeking to warranty the results in the countries where the plan is already underway. As I said before in October, we'll provide more detail of where the plan sits and any further expectations that we might have. We will also work a -- we will launch Santander Advance in places, for SMEs, in places like Mexico, U.K. and Portugal and prepare the ground for extending it to Brazil and Chile in 2014 and 2015, together with a number of new products working towards segmentation, commercial efficiency, quality of service and transformation of our multichannel distribution network. We will also continue to work for the group's greater integration with initiative sites like a global job posting that will launch this month. On the other hand, from all the operations and strategic alliances already under way, which offer a future growth potential. In the second half of this year, we plan to integrate the acquiring operation in Brazil, GetNet, which will increase our business. In the fourth quarter, the consumer debts in Nordic countries acquired from GE Money are scheduled to be incorporated. And lastly, the joint venture with PSA Europe will come into effect during 2015, enabling the group to enter attractive markets like France and Switzerland. I wrap up this presentation repeating the idea that I anticipated in the first quarter. Grupo Santander is on the path to a recovery in profits and profitability that will continue in the coming years and spread to all units. Thank you very much.
José Manuel Campa: Thank you, good morning. We're now going to proceed to the Q&A session. As usual in previous quarters, we will start by taking the questions that we have received via WebEx and address those, and then later on at the end, we'll take any additional questions that may remain over the telephone. Also as usual from previous quarters, we will try to group the questions around some major themes. So to start with one major block of questions in the area of regulation, macro views and strategic issues, we have a couple of questions on the TLTRO program announced by the ECB. We have questions by Raoul Leonard from Deutsche Bank and Francisco Riquel from N+1. Basically, the questions go along 3 different areas. What is the amount of take that Santander may take from the TLTRO? What is the impact in terms of the likelihood that will go to both of the auctions that would take the full amount that we're eligible? And the third part, what is the impact that the TLTRO may have on spreads going forward and the evolution of business activity in the main geographies?
Javier Marín Romano: So sorry, with respect to the TLTRO, considering our business in Europe, the maximum amount we could apply for in the -- in September and December is EUR 9 billion. We haven't taken a decision yet with respect to what amount we will be applying for. But for sure, we will be going both to the September and to the December auction. What do we expect in term of impacts on the spreads? Well, definitely, our view is that it will have some impact, although our view is that it will have a limited one on the spreads, specifically on SME lending.
José Manuel Campa: Okay. Thank you very much. Now moving on to within the context of Europe, we have a number of questions regarding the situation of Banco Espirito Santo in Portugal. We have questions by Mario Ropero of Fidentiis; again, Francisco Riquel from N+1; Benjie Creelan from Macquire; Marta Sánchez from Keefe; and Andrea Filtri from Mediobanca. I would say that these 3 questions go among 3 major lines. First one is regarding the announced recapitalization plans and the situation with Banco Espirito Santo. Whether Santander will be interested in looking at taking a stake in Banco Espirito Santo or what are our views in terms of potential M&A activity in the short term in Portugal. Then the second line of questions along these lines are broader on nonorganic views, those beyond Portugal, particularly the nonorganic views in Spain and in any other potential geography?
Javier Marín Romano: Yes. So Portugal, we are very happy with our bank in Portugal. Our bank is the most capitalized bank in the country. It's the most profitable bank in the country, without any quarter -- without any losses during all the process, which -- so, doing very, very well. We're gaining market share organically, very, very well on current accounts on the -- especially on SMEs. So the team is doing a great job, and we're happy with what we have. With respect to Espirito Santo, it is -- well, it's our obligation in every market, if there's any opportunity to take a look. However, you all know that any possible operation needs to meet our expectations in terms of profitability and [indiscernible]. But I would basically say that we are very happy with the -- with what we have and with the organic growth that we're having. With respect to other countries, again, let me repeat the idea that we will take a look to any inorganic operation that makes sense from a strategic point of view. And the -- and of course, that's -- that entity needs to meet our expectations in terms of profitability. We don't see anything now in Spain, right? We were out of the auction of Catalunya Caixa, where our offer was not as good as the offer from another competitor, and that's the story.
José Manuel Campa: Thank you. Moving on to other geographies [indiscernible]. Raoul Leonard from Deutsche Bank. He's asking us on an update on the progress to pass the CCAR process and the next step -- stage, what resources are we putting into these, whether we can be -- give some flavor in terms of either number of stocks or costs and to what extent does this limit Santander's strategic choices in the U.S.
Javier Marín Romano: Let me see. Well, it's important to remember that out of the -- today, out of the all the banks that went through the CCAR, we are the third most capitalized bank in the U.S., just to remember this. So from a quantitative perspective, we are well. Within the CCAR, there were basically some qualitative issues that were raised by the Federal Reserve that drove them to reject our capital plan. We are -- I think we're taking all the necessary measures to go through this process most optimistically on -- on next year. So it's costing us, of course, money. We are investing USD 85 million this year, with more than 200 people dedicated to the capital plan in the U.S. So I think we're taking the necessary -- the steps on the right direction. I don't think that this will change any strategic decision or a -- or mean any constraint to any options that we might have in the future.
José Manuel Campa: Continuing with the Western Hemisphere, we have questions regarding the situation in Argentina and the news -- the recent news regarding the potential default. We have questions there from Andrea Filtri from Mediobanca, Britta Schmidt from Autonomous -- Marta Sánchez from Keefe and Britta Schmidt from Autonomous, as I said. Basically, these questions are in 3 dimensions. What's our position in terms of sovereign bonds held by the group? What's the potential impact of selective default for Argentina? And whether we have a particular view on what will be the impacts going forward, not just in the short run.
Javier Marín Romano: So with respect to Argentina, just to remember that we are -- we have the first private bank in Argentina, almost 10% market share. 70% of the -- of our P&L comes from current accounts and transactions by clients, so definitely the -- a potential impact of the bankruptcy of the country would not affect us at all. We still expect that the -- an agreement is possible, so we will need to see what the -- what happens in the next days. In terms of sovereign bonds, we don't have U.S. dollar sovereign bonds. In fact, I think that the figure is USD 2 million or USD 3 million. So as you see, we have almost there nothing and, of course, we have sovereign bonds in Argentina in pesos for the -- in order to invest the excess deposits that we have. And there, we have around EUR 700 million. But as I said before, they are in local currency. And there was another question on this in Argentina?
José Manuel Campa: No. That's it.
Javier Marín Romano: That's it?
José Manuel Campa: That's it, yes. Now moving on to more strategic issues but still related with macro-regulation issues. We have a question on the AQR process by Britta Schmidt of Autonomous. Basically, whether we could give us -- we could them any update or views on the AQR and the stress test and has the assessment of the Latin American division already taken place? And do we see any foreseeable provision that will require unified business?
Javier Marín Romano: Well, as I said during my presentation, we are precluded from giving information due to the confidentiality agreement that we have signed with the European Central Bank. The only thing we can say is just to reaffirm what we said on the previous quarter in the sense that we don't expect initial price, and we don't expect any kind of impact out of the AQR and from the stress test. And specifically through a stress test, we believe that we will go through very nicely.
José Manuel Campa: Thank you very much. Now moving on to more strategic issues. We have a question regarding our standing offer for the minority shareholders in Brazil and particularly, also what's the potential implications for the strategy of the group regarding the different subsidiaries. So we have questions from Andrea Filtri of Mediobanca and Andrea Williams [ph]. Basically, the question going, are we targeting to delist Brazil from the stock market there? Are we planning to repeat this operations on some of the current list of subsidiaries, Polish, Mexican, Chile? And on the other side, Andrea Williams [ph] asked, when do we plan to do an IPO in the U.K. and what will be the conditions for that to take place?
Javier Marín Romano: Okay. So with respect to Brazil, we also discussed about this on the previous presentation, where we announced the operation exchange offer to our minorities. Santander Brasil will continue to be quoted in the market. You know that the policy of the bank is to have our affiliates independent in cap -- or autonomous in capital and in financing and to be quoted in the markets. It is our policy, so you can expect to see our affiliates quoted in the markets where they operate. In some time, whenever we deem appropriate. The operation -- the transaction in Brazil with the minorities is basically on track and is fulfilling its timings. So we expect that the exchange would take place basically at the beginning of October. And the -- with respect to the U.K. IPO, well, it's not on the table right now so it's -- we will do the IPO of the U.K. whenever we think it's appropriate, but it's not on the table right now, so you cannot expect that either for this year or for 2015, at least.
José Manuel Campa: Thank you. Thank you very much. Now moving on to more strategic issues. We have a question on dividend policies by Stanislas Reoliv [ph] from BNP Paribas. Can you please confirm your dividend policy for this year -- for fiscal year 2014? And if possible, can you give an outlook for 2015 onwards? In particular, do you consider whether the $0.60 current dividend policy is a floor for the future? And would you consider more cash dividends at some point or buybacks to compensate for this evolution?
Javier Marín Romano: Well, as you all know, the dividend policy is approved for -- by the general shareholders' meeting, so the policy for 2014 has been already approved, $0.60 in foreign scrips, and the policy for 2015 will be approved in the general shareholders' meeting on -- of next year. So it's not -- we cannot comment on that.
José Manuel Campa: Thank you. Now one last question in the area of strategy. We have a question on our announced cost plan for -- from Raoul Leonard from Deutsche Bank. Basically, he refers that we give back information in October, whether we could give some color on what do we mean in terms of expectations on delivery on that plan? What cost-to-income ratio target we have in mind for the medium term?
Javier Marín Romano: We will come back in October detailing where are we sitting in terms of the cost plan, if there is any review on the initial cost plan. Because we are, as I said today and on the previous presentation in April, we are delivering on both the initial expectations, so you can expect to see the -- a revision of that plan. What we expect in terms of a cost-to-income? What we expect is to be the most efficient bank in every country where we operate and to continue to broaden the difference with our peers.
José Manuel Campa: Great. Thank you very much. So we're going to move on now to a second block of questions regarding our financial management section. Here, we have a number of questions on the evolution of risk-weighted assets, capital, intangibles. So let me start first with the evolution of risk-weighted assets. Ignacio Cerezo from Crédit Suisse is asking what are the sources for the increase in risk-weighted assets in the second quarter and what should be looking forward for the next part of the year -- for the second part of the year?
Javier Marín Romano: Well, the increase basically comes a -- EUR 10 billion from the increasing credit. As you see, we have had an increase in credit balances of around EUR 27 billion in the first half, and the other EUR 7 billion comes from -- basically from exchange rates, right? What's the trend that we should expect with respect to credit? We hope to see -- to continue or even to accelerate in certain geographies the trend of growth in credit that we have seen in the -- in this quarter.
José Manuel Campa: Thank you very much. We have also a number of questions regarding our capital ratios, in particular, issues related to our fully loaded Basel III capital. Mario Ropero from Fidentiis and Marta Sanchez of Keefe ask us whether we know -- whether we could tell our ratio and the outlook for the ratio over the next months? Benjie Creelan from Macquire asking us for an update and Marta Sanchez from Keefe also ask whether we can confirm our target for the end of the year for this ratio.
Javier Marín Romano: Yes. We would definitely confirm our target of 9% of Basel III fully loaded for the -- for year end. We are sitting on a very comfortable level of capital, both in phase-in, that is the regulatory one today, and on the fully loaded. With respect to the level of risk that the -- our business carries, that we hope to see confirmed through with the AQR and the stress test that is being carried out by the ECB.
José Manuel Campa: Thank you, very well. We also have a number of questions on our ALCO portfolio and the consumers of the ALCO portfolio to our results. We have questions from Andrea Filtri of Mediobanca and from Francisco Riquel of N+1, basically asking us whether we can update on the portfolio, what is the size, the maturity profile, the P&L contribution of the portfolio, the size of our both portfolio in Spain. How do we see this -- how do we see the contribution to the P&L going forward as well?
José Antonio Alvarez Alvarez: Okay. As you can see in the balance sheet, the ALCO portfolio is always classified and available for sale. At the group level, the available for sale portfolio is EUR 76 billion, of which EUR 95 billion is sovereign bonds. The main portfolio as usual is in Spain, 20 -- the ALM portfolio is around EUR 20 billion, fairly stable compared with the previous quarters. The second largest is Brazil, EUR 14 billion; and these other, EUR 3 billion U.S., EUR 4 billion Poland, EUR 5 billion U.K., so small numbers in those countries. While the objective of the ALCO portfolio continues to be the same, to hedge the site [ph] deposits. The impact in net interest income is in the region of EUR 400 million in Spain, less than that in Brazil because the -- in Brazil, the drop [ph] of ALCO [ph] is relatively small when interest rates went up. In the other countries, the impact in NII is relatively marginal compared with the NII of the different jurisdictions.
José Manuel Campa: Thank you. Following for this section, we have a question from Francisco Riquel of N+1, whether we could elaborate on our EUR 512 million announced impairment of intangible assets.
Javier Marín Romano: Well, this impairment of intangible assets, as I said before, is basically a -- IT, either software or certain hardware that were not serving for the [indiscernible], but they were in a developable box [ph] so basically, we wrote them down. So it's -- all of it is related to IT developments.
José Manuel Campa: Great. Thank you very much. Moving on to the section on credit quality. We have a question from Mario Ropero of Fidentiis, whether we can comment on the evolution of the stock of our NPLs and the evolution of gross interest going forward as well on the NPL performance at the group level, yes.
Javier Marín Romano: Our expectation is to continue to see the nonperforming loan ratio trending down and the cost of credit trending down. Of course, we won't see at group level a big deceleration with respect to where we are, but definitely, these rates will continue to trend down during the next quarters and probably within the next year.
José Manuel Campa: Very good. We also have questions on the evolution of provisions in Spain, where the comment is provision charges fall in Spain, Brazil, whether we could comment on the views for the second half of this year versus the first half in terms of the evolution of provisions and whether we could give some guidance in terms of the cost of risk for Spain -- in Spain.
Javier Marín Romano: Well, we've been saying in previous quarters, what we're seeing at the beginning of the normalization of the cost of credit in Spain that we should see in the coming years moving down to between 50 to 70 basis points of a cost of credit. Our expectations is that we will -- we are seeing this already and that we should continue to see this periodically during every quarter.
José Manuel Campa: Thank you. Similar question for the U.K., from Mario Ropero of Fidentiis, whether we could comment on what level do we think that the cost of risk should eventually converge to in the U.K.
Javier Marín Romano: Well, as you know in the U.K., we are changing the mix of business slowly. We're changing the mix of business because the mortgage portfolio is very big compared to the SMEs or the unsecured loans or whatever portfolios. So I don't think -- even though we are changing this, I don't think we should see any big change on the NPL or on the cost of credit on our U.K. book in the foreseeable future.
José Manuel Campa: Great. Thank you very much. Now we're going to move on to a block of questions by the different geographies, starting with Spain. We have questions basically in all the different lines of the P&L, starting with volumes. Mario Ropero of Fidentiis, his question is about the evolution of loan growth in Spain, whether we could comment on the breakdown by mortgages, consumers, SMEs and institutions in volume.
Javier Marín Romano: Yes. Out of the volume growth, the net volume growth is coming -- the gross one is coming basically from companies and SMEs and from a -- and from public administration. We still see a decrease in the mortgage portfolio, even though it's much more reduced than in previous quarters. The increase in new production in mortgages is around 70% compared to the first half of last year.
José Manuel Campa: Thank you very much. We have a number of questions also regarding the evolution of spreads, both on the loan and the deposit side. We have questions from Mario Ropero of Fidentiis, Rohith Chandra of Barclays and Francisco Riquel of N+1 regarding the evolution of time -- of term deposits, whether we could comment on the evolution of the price of term deposits, both in terms of cost of back book versus front book and also whether we can make comments on the evolution or the [indiscernible] evolution of the size of those term deposits going forward.
Javier Marín Romano: Well, in terms of size, we don't see any substantial decline on the size of the term deposits. In Spain, basically, the deposits were, as it was so-called, it's not there anymore. In fact, we also think that this TLTRO will help towards this. The stock today is basically at around 90 basis points, and it's trending down as we are seeing the new production being done at below 70 basis points. I think José Antonio has shown this on the slide. So we should continue to see a trend in the decline on the cost on -- of deposits during the next quarters.
José Manuel Campa: Thank you very much. Now moving on to the loan side. We have a question from Ignacio Cerezo of Credit Suisse regarding the evolution of spreads for companies in Spain, for corporates and particularly, what's the relationship again between the evolution of spreads in front book and back book for particularly SMEs but also corporates in Spain.
Javier Marín Romano: Well, we are beginning to see a little compression in margins, although I would say it's negligible, especially in June and July, and not in the previous months. So the production was basically more or less in line with the stock in terms of pricing. And in terms of margins, we think that we will continue to see some compression, although I believe that it will not be something very material.
José Manuel Campa: Okay. We have questions on fees from Marta Sanchez of Keefe. She comments the fees in Spain look a little bit weaker than peers. What we think -- can we give some flavors going forward regarding this number.
Javier Marín Romano: Fees in Spain have a double impact. One is the interchange fees for credit cards that will impact us in Spain between EUR 45 million and EUR 50 million. And the other part is basically the -- a -- out of the integration of Banesto with Santander. The -- that's something that we mentioned also be -- in the previous quarter. The integration of the Banesto clients into the commercial offer, that is [indiscernible] Banco with no fees has also had an impact. So I think this is -- these are one-offs, and we are seeing much better trends in some sectionality [ph] in ForEx, in insurance, or in mutual funds that we'll -- that we should see in the next quarters.
José Manuel Campa: Thank you. Now moving on to our -- to Santander Consumer Finance division. We have a question from Mario Ropero of Fidentiis, asking us about how do we see the business evolving and margins, and particularly, what -- whether we could comment on our expectations for loan growth and margins in the unit.
Javier Marín Romano: Well, Santander Consumer Finance is developing its business in a much better environment, so we're beginning to seeing new car sales in almost every country where we are picking up. On top of that, I think that the team is doing a great job, which we are growing at twice the pace that the new car sales are growing in all these markets. So we are optimistic in terms of volumes. Margins will basically stay where they are, so they will basically stabilize. And we'll see cost of credit at historical lows, basically remaining where it is. On top of this, of course, we will see from the nonorganic operations in the Nordics a -- and from the -- and next year, with the operation on -- with PSA, a huge increase, of course, in volumes and a much higher contribution of this area into the group.
José Manuel Campa: Thank you. We also have a question on Consumer Finance from Raoul Leonard of Deutsche Bank, whether we can give an update on the Citroen Peugeot talks, JV talks that we mentioned, if we would say that we signed already an agreement with them, and also asking again about the outlook of the business. But also, the -- Raoul asked particularly on the cost-to-income ratio, what should be the cost-to-income ratio in the Santander Consumer Finance division?
Javier Marín Romano: So with respect to PSA, basically, the bulk of it will come through 2015. It will defer according to the different countries where we established the different joint ventures, so you can expect between the first quarter of 2015 and the -- basically in the third quarter of 2015, you'll have the bulk of the operations already in place in the different countries. At least in the most material ones like France, Germany or the U.K. And the cost-of-income of Santander Consumer Finance, well, we like to look at Santander Consumer Finance on the cost plus provisions to income in order to see the net profitability of the business, and we basically think that they will continue to stand where it is.
José Manuel Campa: Thank you. Now we're moving on to our U.K. division. We have questions by David Vaamonde and Marta Sanchez, basically asking us about giving some flavor going forward for the outlook of the business. They both comment on the good performance of this division in this quarter. So David Vaamonde, more specifically, asks about where do we see the top line and the cost of risk evolving in the future, will we expect this trend from these parameters going forward as we go for the next quarters. And Marta Sanchez also asked what is driving this good performance for this quarter and to what extent can we expect this going forward.
Javier Marín Romano: So with respect to the top line, the huge success that we've had -- that we're having in the U.K. in transforming the bank is fueling into the P&L, and this is basically with the 1 to 3 account and the transformation -- and the commercial transformations that we're doing at the bank. We are a -- during the first half, we have 300,000 new loyal clients into the bank, and we are opening 100,000 current accounts every month. Volumes in demand deposits or current accounts have increased EUR 35 billion since we launched this. So this is having a huge success. This is helping us to drive down the cost of deposits in the U.K., which has made the client margin move to historically high levels, if we take a look into the last 2 years. We do not expect any further increase in the -- in margin -- in client margin over the next quarters. Growth should come in the next quarters from -- growth in margins -- in -- sorry, in financial income should come basically from growth in volumes. And there, we expect nice growth in volumes to continue in the current accounts where we are taking 1 each or 4 -- 1 of every 4 clients that switch accounts in the U.K. are coming to Santander, and we expect growth not only in SMEs and in companies where we are growing at nice double-digit levels, but also growth in mortgages, which is basically a change in trend with respect to the previous quarters, when basically we were seeing this book deleveraging. We expect now basically to grow in accordance and to keep the market share that we have in the market. Active provisions, even though we are changing the book in SMEs and in companies, is growing at a much higher rate than in mortgages due to the size of the mortgage book and the sanity of the market in the U.K., we don't expect any material change in trend with respect to provisions.
José Manuel Campa: Thank you very much. We also have on the U.K. a more specific question from Raoul Leonard of Deutsche Bank on the expectations for deposit spread and for customers going forward, which I think you have answered already very well. Let me move on to Brazil, the next geography. Here, we have a number of questions. Before we start, let me remind you that we're in the middle of a process of an offer to the minority shareholders there, so we're in a quiet period. So we're somewhat limited in the amount of statements we can make about this. Nevertheless, I'll forward the questions. We have questions from Mario Ropero of Fidentiis and Benjie Creelan of Macquire. Basically, whether we could any update of guidance on loan growth for 2014, given the experience that we have had already in the first half of this year.
Javier Marín Romano: Well, I would love to give it. But I am sorry, but I cannot give any guidance, as our lawyers have told us that due to the reason that José Antonio Alvarez has mentioned, any forward-looking statements or any guidance are -- we are forbidden to give them, so sorry to not comment on that.
José Manuel Campa: Thank you very much. I think the same applies for another question that we have from Ignacio Cerezo of Crédit Suisse regarding the evolution of LLPs for the trimester and going forward for the rest of the year, so we'll skip that. Now moving down to our last geography in which we have questions. We have a question on Mexico from Raoul Leonard of Deutsche Bank, asking us basically on the evolution of loan growth, is that going to leave -- is that driving the surge [ph] in profitability? What is our guidance for the balance sheet growth going forward and what sort of retail business has been being growing as customer margins seem to be contracting? What areas are we growing?
Javier Marín Romano: So with respect to loan growth, we had very nice loan growth in the first half in many areas, as I mentioned before. So it's in SMEs. It's in corporates. It's in mortgages. However, basically, credit cards and consumer credit is not growing at the level we expected, probably because of the situation of the economy. And this is basically the explanation of the -- for the margin compression that we have seen, because it's a question of a business mix. So very nice growth in mortgages, as I was mentioning, and in SMEs with enough inside warranty and that of course, and in corporates, that are segments and products that have a margin that are well below the margins of a -- of consumer credit. And we do think definitely that this growth in business, not only in credit, but also in deposits and in funds, we have gained 100 basis points of market share in demand deposits and current accounts. So we believe that during the second quarter -- during the second half of the year, we should see this growth in market share in different products fueling into the P&L.
José Manuel Campa: Thank you very much. I have received one last question from an investor, from Luke Nabunabni [ph] of Vangar [ph], asking about basically what's the situation for -- regarding the Banco Espirito Santo. I think we have answered this in the past. I don't know if you want to add any additional flavor to this.
Javier Marín Romano: Nothing else.
José Manuel Campa: Okay. Thank you very much. I have -- I think we have addressed all the questions that we have received via WebEx, and I understand that we have no questions waiting for us via telephone. So I believe we have answered all the questions. If that were not to be the case and we have missed something, then we apologize upfront already. But nevertheless, I want you to know, though, here in Investor Relations department, we remain totally at your disposal, and you can always reach us with any additional questions you may have. Thank you for attending this conference call.